Operator: Thank you for standing by my name is Celine, and I will be the conference operator today. At this time, I would like to welcome everyone to the Pegasystems 2Q 24’ Earnings Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be question and answer session. [Operator Instructions]. I would now like to turn the call over to Vice President, Corporate Development and Investor Relations of Pegasystems, Peter Welburn, please go ahead.
Peter Welburn: Good morning, everyone, and welcome to Pegasystems Q2 '24 Earnings Call. Before we begin, I would like to read our safe harbor statement. Certain statements contained in this presentation may be construed as forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. The words expects, anticipates, intends, plans, believes, will, could, should, estimates, may, forecast guidance or variations of such words and other similar expressions identified forward-looking statements, which speak only as of the date the statement was made and are based on current expectations and assumptions. Because such statements deal with future events they’re subject to various risks and uncertainties, actual results for fiscal year 2024 and beyond could differ materially from the company's current expectations. Factors that could cause the company's results to differ materially from those expressed in forward-looking statements are contained in the company's press release announcing its Q2 2024 results, and in the company's filings with the Securities and Exchange Commission, including its annual report on Form 10-K for the year ended December 31, 2023, and in other recent filings with the Securities and Exchange Commission. And investors are cautioned not to place undue reliance on such forward-looking statements, and there are no assurances that the matters contained in such statements will be achieved. Although subsequent events may cause our views to change, except as required by applicable law, we do not undertake and specifically disclaim any obligation to publicly update or revise these forward-looking statements, whether as a result of new information, future events or otherwise. And with that, I turn the call over to Alan Trefler, Founder and CEO of Pegasystems.
Alan Trefler: Thank you, Peter, and to everyone who has joined today's call. I'm very pleased with our performance for the first half of 2024. We continue to improve execution, and I'm happy to see that our focus on profitable growth is working well. We're accomplishing our financial goals while continuing to deliver breakthrough technology innovation. Our cinema architecture and approach to statistical AI and generative AI continue to be significant differentiators that we think our competitors can't easily replicate. Our newest offering, especially Pega GenAI Blueprint have captured the imagination of clients, prospects and partners, allowing them to identify new possibilities and help us drive deeper engagement. Client discussions I've had since launch of Blueprint are some of the most positive I've had in the Pega 40-year history. In fact, when our clients see what we delivered they quickly recognized for power and the opportunities. I believe that the energy and confidence in our vision is increasing -- and is helping to drive the kind of results we're talking about today. With tens of thousands of Pega Blueprints created over the last few months, we're identifying opportunities to accelerate growth and creating additional momentum for Pega Cloud, which will contribute to monetization. And we've barely scratched the surface of what we, our clients, and our partners can do with this game-changing technology, and we're really energized by this. I do believe that Blueprint is fundamentally changing how we engage, sell and deliver with our clients. Now I want to take a few minutes to remind you about what makes our approach to AI unique and powerful because a lot of the language we see in the industry is very busy and sounds very similar. But at the core, if you strip away all the text, we're moving our clients way beyond the ability to write more faster code, which is what many of our competitors are doing. This is the 100% wrong focus. No client has ever told us they want more code. They are grounding in code in legacy systems. They want to drive innovation, ensure their employees are satisfied and productive and ultimately serve their customers better, so the customers are satisfied, loyal and profitable. As we've always done, we're using AI to help clients solve business challenges by giving them the ability to completely reimagine their workflows and then execute quickly and effectively. GenAI allows us to take this to a whole new level. And for decades, we've been investing in an application development approach centered around business outcomes on our code, things like enterprise processes, rules, data models and user interface. And this [indiscernible] us up perfectly with our approach to GenAI. Now this allows business and IT to come together with a common visual language focused on business concepts and the customer journey, not on any particular technology or channel. Infusing Gen AI into our approach, lets users unlock new ideas and implement them efficiently and effectively. And because so much of our architecture is patented, we believe it can't be easily copied or reproduced, and we don't see anyone going at this problem the way we are. Now on last few calls, I talked about the four major areas we believe our GenAI approach will have a massive impact for us and our clients. By delivering solutions at first, double developer productivity by putting Pega skills at their fingertips. Secondly, Ignite enterprise innovation to a powerful plan of industry expertise Pega technology and incorporating client insights, all driven by generative AI. Third, maximize revenue and efficiency with real-time optimization and personalization of customer interaction in workflows, and finally, streamlining their work processes and customer experiences by giving the right people, the right access to enterprise knowledge and putting processes in their hands to execute based on that knowledge. We continue to deliver on that strategy, which we showcased at Pega World last month. We've added GenAI capabilities that help all who use Pega do more. Business and IT team to design and plan new applications, well Pega GenAI Blueprint is helping them collaborate dramatically accelerate the design phase, inject new ideas and best practices, and use the power of AI in the Internet to stimulate best practice thinking in their applications. And developers where the Pega GenAI autopilot helps them turn Blueprint into live applications providing the ability to move from Blueprint to an application and provide potential guidance in the systems in every step of the development journey. And I also love Pega GenAI Socrates. A first-of-its-kind Gen AI tutor that revolution was learning by creating an interactive tailored dialogue with each individual students to help them learn Pega skills. Now users of Pega applications across operations, service and customer engagement where we have a powerful integrated suite of more than 20 productivity boosters aimed at different use cases are all seeing enormous benefits. Customers are leveraging self-service to get answers using GenAI knowledge buddy. Employees get their work done faster with expert guidance and direction from the AI to the GenAI Coach. Service agents can serve their customers better using Pega GenAI analyzed to summarize conversations and do more relevant follow-up. In marketers, who can effectively create action and manage holistic customer engagement with Gen AI CDH assistance. As you can see, we've percolated GenAI through our entire product suite. This is the basis of how we want our clients to advance in the future. Now a moment on Pega World, it was really inspiring and as exciting as any that I've seen in more than 30 years. Now the attendees were super eager to explore the new innovations, especially Pega Blueprint, where we had multiple Pega Blueprint kiosks around the event. And there were a lot of people up to 5G waiting to get their hands on it. More than 1,000 new blueprints were created in just the 2 days of Pega World. And in client meetings I've had this quarter, including some of those Pega World, clients are excited about our vision for GenAI and the potential impact it can have on their business. And those it's early days. Several clients spoke about their blueprint experience. And I found what Aflac said, particularly inspiring. For the second year, they ran what we call a Pegathon which brought together about 70 of their teammates across the company for 2 half days to develop application prototypes for key business units, all using Pega. The team included business stakeholders with no software experienced, developers with no Pega experience representatives from their partner Coforge as well as VPs from the business units involved. This year, they use Blueprint to create the workflows for apps. They are defined that really fundamentally have the prospect of changing their business and driving a digital transformation strategy. Terry Henry, the digital service delivery leader at Aflac, and delivered a presentation at Pega World, said I'm hoping that all clients will say, "Well, we've been quite impressed with the speed, agility and intelligence of Pega GenAI Blueprint. It helped us optimize workflow designs across an array of these scenarios and for a number of different business departments. By drawing on Pega's best practices via generative AI, we can quickly create apps and processes that meet our requirements in record time. This is truly a differentiated use of generative AI that will help propel our digital transformation project forward for the ultimate benefit of our employees and customers". Just terrific when customers stand up and say that sort of thing. We were also very excited to see that our partners have re-priced Blueprint's value and have themselves created over 10,000 blueprints. With the latest release, we can upload their proprietary blueprints to Pega's best practice library for them to use in their client engagements and to help them create new services. About a dozen partners have already taken advantage of this new capability and have created about 70 best practice blueprints to use with their clients. Now it was a terrific opportunity, I think, for us to broaden the way we go to market, by empowering our partners to take advantage of this new capability. And one thing I love is that the Pega team in the first quarter of this year, engaged with our partners to make sure that they were really up to speed and able to get on their front foot with this new facility even as it continues to evolve. Now I know many of you attended Pega World came to our investor conference, and it was great to see you there. For those who did it or missed day 2, I encourage you to check out our website watch the keynotes. And if you want to hear the rest of what Aflac was saying, that is the dozens and dozens of videos is there as well. Now in addition to the incredible client stories, we also made several important product announcements to move our vision forward, including enhancements to Pega GenAI Blueprint that accelerate transformational design, including an improved more intuitive user interface the ability for clients to import existing assets, content and knowledge that jump start their designs, the ability to have multiple people to elaborate directly on blueprints and the ability to upload and save their workflow templates into our best practices by rate. Blueprint is getting better every week as a SaaS app that runs on pega.com. It's really empowered us to operate at an incredibly rapid case with our clients. In fact, just last night, we added facilities to it. To allow the import of BPMN and business process management notation diagrams to be able to turn them into the key workflows of a blueprint. BPMN is from my point of view, an ancient and derelict standard from the early 2000s that Pega has long passed by but many people still use, we're going to make it much easier for people to do a legacy transformation of these old sort of difficult to update systems into the extremely modern model-driven design that underlies Pega. Now we also announced Pega GenAI Socrates, which completely transforms the process for learning Pega skills. This dynamic learning environment fosters an interactive dialogue. And it's very new, but I think it's incredibly exciting, and we've actually had clients who have begun to put their assets and their information into some Socrates classes so that they can do a better job of teaching their staff, things that don't even apply to Pega. And we think this represents a really interesting opportunity to look at going forward. And, we expanded our Gen AI framework with new connectors to Google Cloud and AWS that give our clients more options to use a different LLM if there's a good reason to. Our clients now have a broader set of capabilities to build generative AI applications. And we've really focused on trying to bring the security, privacy and key aspects of responsible AI into what our technology does. I also mentioned that this morning, we announced that we have received FedRAMP high ready compliance and in-process status for Pega Cloud for government. We've been FedRAMP moderate for a long time, now being raised to FedRAMP most rigorous standard is something that we're very excited about, and we'll be working on completing in coming months. As you know, the government business is quite important to us. So we think this just helps give another vote of confidence in the U.S. and even around the world as people look at it. So in summary, we continue to improve execution to drive profitable growth while delivering, I think, revolutionary innovation. We have a vision for leveraging AI and GenAI that is driving deeper engagement and absolutely aspiring increase confidence with our stakeholders. Now while we have a lot of competitors talking, we're delivering tangible groundbreaking solutions and they're in an architectural approach that we don't think competitors can match. And this approach and architecture are unique. It's been the basis of Pega and developed by Pega over decades, and what I love about the way we put statistical AI, generative AI to work is how perfectly it fits in. with this heritage. Now to provide more color on our financial results, I'll now turn it over to Pega's COO and CFO, Ken Stillwell.
Ken Stillwell: Thanks, Alan. Our execution was truly exceptional in the first half of the year, and I'm really proud of the way our team is improving profitability, but also focusing on driving growth. This success reflects our continued commitment to delivering efficient growth and demonstrates that we're fully pleasant to Rule of 40 mindset in the business. The most important metric to measure the success of our business is growth in annual contract value. ACV grew 13% year-over-year in constant currency, exceeding $1.3 billion. Our ACV growth reaccelerated from Q1 to Q2 for three reasons. First, we significantly increased client engagement thanks, to the go-to-market changes we’ve made in 2023 and the enormous interest in what we're doing with artificial intelligence. Clients are very excited about our AI vision and execution. We've reinvigorated their enthusiasm about Pega and its driving strategic conversations. More specifically, Pega GenAI Blueprint is dramatically changing the way our field teams engage with our clients and prospects. Nailing down an app design used to take weeks or months now it takes hours. Pega GenAI Blueprint helps businesses and technical teams align on a vision quickly. We've seen tens of thousands of new blueprints created so far, a strong sign that Blueprint is transforming our overall selling process. Our decision to permit our product line with AI is really energizing clients to make them more amenable to moving forward with us, which is also transforming our selling cycle and culture. To be very clear, we don't view the monetization of Gen AI primarily as the selling of new priced offerings. Although we did see some of that activity in Q2. Instead, we see Gen AI as a totally different way to engage and ideate with clients to modernize legacy applications and enable digital transformation. The second reason ACV accelerated from Q1 to Q2 is because our latest innovations are serving as a catalyst for clients to build new workflows on or move existing workflows to Pega Cloud where they can get access to our latest capabilities. Pega Cloud net new ACV contributed 81% of the total net new ACV added in the first half of the year, which is an acceleration and amazing to see. Pega Cloud ACV grew 19% year-over-year, and Pega Cloud backlog passed $1 billion for the first time ever in Q2, just awesome. Third, our growth was more balanced in the first 2 quarters of 2024. In 2023, in contrast, ACV growth in Q1 was much stronger, while ACV growth in Q2 was far more subdued. So what you're seeing now is one of the reasons we love SaaS. Pega Cloud ACV is up 19%. Pega Cloud RPO grew 18%, and Pega Cloud revenue was up 19% for the first half of 2024. Free cash flow is another important metric to measure the success of our business and our execution. Free cash flow totaled $218 million in the first half of 2024, a record for the first half of the year for us. The 119% year-over-year increase in first half cash flow was driven by two factors. First, our continued improvement in sales execution is really resulting in a strong net ACV out of $146 million year-over-year in constant currency. ACV is a proxy for subscription billings. So greater ACV means greater recurring billings. The second key driver was our continued focus on operational discipline. One of the biggest levers we have for free cash flow is gross margin expansion. And the biggest factor for gross margin expansion is our Pega Cloud business. Pega Cloud gross margin increased to 78% in Q2. A series of consecutive increases in gross margin for Pega Cloud. We're going to keep pushing to expand Pega Cloud gross margin with increased scale and automation. If I go back a few years, you might remember that we were targeting 70% gross margin for Pega Cloud and then 75% and now 80%. And we believe as this business continues to scale, there's significant ability to get that our gross margin increasingly higher while still delivering amazing service to our clients. Our sales and marketing expenses in the first half of 2024 decreased by $26 million year-over-year. Our view is that reducing expenses and therefore, increasing cash flows provide us the capacity to make strategic investments in innovation that help our clients drive digital transformation. Our free cash flow momentum provides numerous options for executing our capital allocation strategy that will also lead to increased shareholder value. The combination of our solid ACV growth and robust cash flow margin demonstrates that our team adopted the Rule of 40 mindset. We define Rule of 40 as our ACV growth rate plus our free cash flow margins adjusted for things that are not representative to core business operations. We're committed to being a balanced growth and profit company. While we always will strive for faster growth, we're going to do it in a smart way. Many of you have said it's helpful when I share some thoughts on modeling, so I'll continue to do that. In the first half of 2024, subscription license revenue was stronger than many of you might have expected. Although subscription license is recurring, we believe Pega Cloud is the best place for our clients and it's great to see more workloads transition to Pega Cloud. Given our Pega Cloud momentum, we believe subscription license revenue will decline year-over-year in 2024. We have a very low number of subscription license renewals planned for Q3 and expect the majority of any remaining renewals in 2024 to shift towards the back end of the year in Q4. Keep these dynamics in mind when you're modeling our subscription license revenue for the second half of 2024, with a particular focus on Q3. I also want to point out that Pega GenAI is making implementations easier to deliver and our partners continue to play a critical role for our clients. As a result, consulting revenue is growing at a more moderate pace than total revenue. We expect that trend to continue through the second half of 2024. Closing out my thoughts on modeling. I'll wrap up with a few comments regarding free cash flow. Once a contract is signed, we typically bill 1 year in advance or in some cases, 1 quarter in advance. ACV ties directly to billings. So the seasonality of our free cash flow often follows the seasonality of our contract renewal cycle, which is typically stronger in the first quarter and the last quarter of the year. As a result of these dynamics, we believe it's more instructive to look at our free cash flow on a trailing 12-month basis. Over the last 4 quarters, our free cash flow was just over $300 million. In conclusion, we've been working hard to ramp up our ACV growth and drive free cash flow. Our first half results show that the changes we made to our go-to-market strategy in 2023, increasing seller focus and productivity and also coupled with our latest AI innovations are working. Therefore, we can selectively and strategically grow from here and expand quota-bearing resources in a smart way using a disciplined approach and also evaluating the impact of new logos on our growth strategy. It was great to see so many of you in person during our investor session in June in Las Vegas. We're also looking forward to seeing you on the road in August and September. And with that, operator, please open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Steve Enders with Citi. Please go ahead.
Steve Enders: I guess maybe just to start, I mean, pretty impressive ACV, new ACV ads in the quarter here. Can you just maybe talk a little bit about what's helping drive performance in 2Q specifically? And I think looking back, it looks like one of the better 2Q from an ACV ad perspective in quite some time. So can you just give a little bit of clarity on maybe what's going on in the deal environment? And if there's any pull forward or kind of like what drove the strength in the ACV as here?
Ken Stillwell: So I'll start, and then Alan, feel free to jump in. I think that one of the big changes, Steve that we made in 2023 that is really paying off is because of the focus on dense coverage of target orgs and really the approach of selling Pega Cloud we're not as dependent on very large kind of episodic deals to actually -- for our sales team to make numbers. That's not to say that they don't happen and they won't happen. But our sales team is in a motion of much more of continual prospecting, selling, pipeline development advancement. And we really embrace that because it helps to put less dependency on back end of the year and larger deals. That's not to say that we will be a completely linear business. It just helps to keep that focus quarter in and quarter out to produce and get numbers on the board. I think that's kind of well ingrained in our culture right now. And I think you're seeing that in the first couple of quarters. So that's just from an operational execution. I'll also let Alan touch on just Gen AI and Blueprint and how that's really reinvigorated the discussions.
Alan Trefler: I think if you go back post a year ago, we made organizational changes to bring together what we used to call the Catalyst Group, which was a distinct group at that with our solution consultants, the people who actually do the demos and touch the sort of systems our customers used to figure out that they want to buy something with our professional services people who actually would do work on the delivery and with our partner teams because our partners are obviously, absolutely critical to delivery. When we saw what was going to happen with GenAI last July, and what's happening. We said we're going to bring these teams together and really use generative AI as a way to rethink how we engage with the customers. As a result of that, I think, make their ability to see what an application might look like and understand what will take the deliberate application much, much clearer to them. And I think this is still a process, but I think it's working really well. And I believe that the energy that we're seeing from our clients really has a lot to do with having connected that chain together but also reduce something into that chain, which previously we’ve really didn't use to do all that much, which is to actually have our account executives, the frontline people who are in the field actually be able to participate in the demoing and the seeing and the real invigorating of the clients was a hands-on level of involvement, all based around GenAI empowers people to think differently. I -- look, we need more than 1 quarter or 2 quarters here to make us feel that we've got this all nailed. But the early signs of what I see as evidenced by the enthusiasm and the results from Q2 are actually pretty exciting.
Steve Enders: That's great to hear and helpful context there. I guess, maybe as a little bit more pointedly, I think at the Analyst Day on the GenAI front, you've maybe expected some contribution coming in, in Q3 from Blueprint. Are you kind of feeling the same way from that? Are you seeing the pipeline -- are you seeing those conversations built in the pipeline? And how are you kind of feeling about that pipeline converting over to deals at this point?
Alan Trefler: Well, no, I think one of the things that's different about Pega's approach is -- and if you look -- if you go back and listen to my 20-minute keynote at Pega World, we talk about the three forms of GenAI, Statistical AI, machine learning. We've done that for 15 years, really, really critical to next best action, making recommendations, doing process improvement. The second form being these productivity tools of which we've got several dozen that do a nice stuff like summarization and other sorts of it that are -- can be important. But the third time of AI, we spoke about was AI who was transformational, which is using generative AI to profoundly change how the organization did its very processes. And we had an enormous opportunity to do that because we're modeled we don't go from the Gen AI input from customers to code, which candidly more code is just more mask. We go into the model, the same model that we've been perfecting for decades. And that means that we've got GenAI plugged in, in a way that is not just faster, but it's also transparent to the customers, you can see what's happening and also changeable. So I think that this energy from Gen AI represents a fundamental change to all aspects of our business, we really -- we woven it in everywhere, which is why we go so around talking about GenAI SKUs. I would say that there's not a single sale anymore or a single pursuit that does not have GenAI at the heart of it because that's now the way you use our products.
Operator: [Operator Instructions] Your next question comes from the line of Kevin Kumar with Goldman Sachs. Please go ahead.
Kevin Kumar: Alan, you had mentioned the federal segment. So maybe if you can give an update there, kind of the trends you're seeing with the federal business. How is growth trending there relative to kind of the broader Pega growth. And maybe, if you can touch on kind of the strategy there. Is it similar to the broader Pega strategy of going deeper into the existing accounts? Any color there would be helpful.
Alan Trefler: Yes. I think that one thing you need to realize, when we go deeper into an existing account, that actually involves things that are as much new pursuits and new accounts as anything else. I mean the Department of Commerce is an existing account. Department of Justice, the U.S. Army, those are existing accounts. The IRS, the ability to do massive new things for them is it, Right? I mean, we're only doing it inflection of what that potential landscape is. So we definitely have a target or strategy. I think that's something that helps our business be more reliable in the business, but also, frankly, helps us do a better job for our clients, which is key. So we've definitely taken a target strategy there. And I'm thrilled with what I'm seeing. I'm filled with big organizations themselves experiencing success and looking for ways to get broader. By the way, not just in the U.S. But we've had massive work recently with Majesty's revenue and customs doing work well across the globe in governments, and I think it's going to continue to be really important for us.
Ken Stillwell: So Kevin, just to add one thought on. So what -- an interesting dynamic that may be kind of similar to what happened a few years ago is that the government went from being a little bit more skeptical of SaaS and cloud, say, 10 or 15 years ago to really embracing it in the last, say, 5 years or so, maybe a little longer. So they're really -- and I think you're seeing that same trend around GenAI, right? The government -- companies are always skeptical of kind of like the risks of something like GenAI because they want to understand how to control it, how to risk changes to their business that they might not have anticipated. But I do think you're going to see the public sector, the U.S. government and other governments really leverage Gen AI. So we're focused on the impact of Gen AI into our government solutions as well because we think it's going to be relevant there, too, including Blueprint.
Kevin Kumar: Yes. No, that's great color. And then, Ken, you had talked about license term license maybe being a bit stronger this quarter, but it doesn't sound like your full year expectations change. So was that just really kind of pull forward, maybe you see a weaker 3Q and you see that typically strong 4Q. Anything else you can add there? Or any changes in customer buying patterns?
Ken Stillwell: Yes, that's a great question. And you actually caught that in my script. So I was consciously trying togive you guys some insights on that. We actually think, if anything, our turn license will be lower for the year as opposed to hire. There's more and more clients are moving to Pega Cloud. What happened in was just timing of renewals, right? It's just -- so what you should anticipate, Kevin, is exactly what you said, Q3 will be pretty weak in terms of renewals on the revenue side because it's just -- you know how that is. It's just our business isn't linear on the timing of renewals. Q4 will still have term renewals in it, but Q3, not many. And we think -- we still think that term revenue is likely to be down low double digits, right, for the year because more of it's moving to Pega Cloud.
Operator: Your next question comes from the line of Jacob Roberge with William Blair. Please go ahead.
Jacob Roberge: It was great to hear the traction that you're seeing with those Gen AI blueprints. I'm curious when you think these blueprints actually go live into production. Like are you seeing -- starting to see some customers take the blueprints in the live run time today? Or is that still a few quarters away to actually really impact that ACV growth?
Ken Stillwell: So it's interesting, Jake. We actually just met yesterday with one of our key partners, who has actually closed two engagements where they were driven from Blueprint. So like they've actually done Blueprint and they've turned into engagements for them. Now it doesn't necessarily mean their license orders for us, but that's okay. Those are the engagements that lead the license orders. So we see our partners really on the front end of this, which is really amazing because typically companies like Pega. We have -- we typically move fast and we have to help enable our partners to keep up. Our partners are actually kind of out in front on this in a lot of cases and really leveraging blueprint to be able to deliver solutions to our joint -- our mutual clients. So we're already seeing that. And I think that momentum is going to pick up.
Alan Trefler: Yes. I've seen it also with some direct clients who have used blueprints to accelerate products applications that they brought live. When Ken talked about these always don't lead to an immediate license sale. We've been moving for a number of years, our customers to more of a kind of consumption model based on levels of consumption. So that it's easier for them or candidly years ago, I think we made it really hard for our customers to get started on a new application. Now we want a customer to be able to find it easy to start on a new application to not have to sign a piece of paper with us to be able to do that in most cases. The side effect of that is we've got a real interest in them getting benefit in them using our system. So we're thrilled with increases to this consumption whether it leads to an immediate license or to the next time in new agreement, will we take a look at what they're doing and true without it. Both of those are fine outcomes from our point of view here. And I think that the level of enthusiasm that we have that's touching the entirety of the Pega products suite, both where we've got Blueprint implemented and where we've talked about putting Blueprint in the third and fourth quarter. But this is generating a level of excitement and understanding about how AI can really help their businesses that's unlike anything I've seen before.
Jacob Roberge: Yes, that's great to hear. And then also good to see Pega Cloud representing 81% of net new ACV growth. How are you seeing GenAI impact the cloud migration timeline for your customers? Are you seeing any of those customers accelerate the journey to Pega Cloud? And then, Ken, how should we kind of think about that mix heading into the back half of the year just in terms of Pega net new ACV growth.
Ken Stillwell: Sure. So you're going to see, Jake like they -- the clients were already on a pace of migrating to Pega Cloud. And we have been I would even say more patient with that move and not really pushing anyone. And I think there's just a lot more incentive for clients now with GenAI. They want to move to cloud anyway, Right? This is part of their digital transformation plans. So I think GenAI just gives them another reason and a very important reason to actually make that transition. So I think you'll see the pace of our clients migrating to Pega Cloud accelerate as we go into 2025.
Operator: Our next question comes from the line of Pinjalim Bora with JPMorgan. Please go ahead.
Pinjalim Bora: Alan, what are you hearing from customers around kind of that last mile implementation of Blueprint. It's clear that to create Blueprints, its pretty easy and people are probably getting a lot of value from creating those blueprints, but I'm thinking about actual go-live from creation of blueprints to the actual go-lives. What are -- are there any hurdles people are facing? Is that actually easy? What is the feedback from customers at this point?
Alan Trefler: Well, the feedback continues to be very excited. What we're seeing customers tell us is this has fundamentally changed the way they do design thinking about new applications. They're able to take harvest practices, their input, things were able to glean from the Internet, bring them together and use that to challenge the conventional way that they would have thought about doing a business process or build the system. And it's really as you have seen and everybody is welcome to use it on pega.com. It's very innovative. I mean even if it never made it into the application. The fact that this changes the way you think about a business process and does it literally in hours as opposed to weeks all by itself use advantage. And I do know of some customers who are playing with this for systems that may never actually become a Pegasystem, which by the way, I think is just fine. Now having said that, the ability that we introduced at Pega World, so realized how incredibly new this is to be able to import this into an actual new or existing Pegasystem, have a blend with their existing rules and processes that's got a tremendous amount of excitement. Unsurprisingly, it's led to a lot of enhancement of us from clients. And we are pounding those in, which we're able to do because Blueprint is a SaaS system. So we're able to do this weekly and biweekly release cycle, which is adding value. So the feedback we're getting from the clients is they love what they're saying they want some more stuff, which is always a good thing with telling customers were really interested, and we're providing it. So I would say unlike many things I've seen in my life and technology rollout, this is all good.
Pinjalim Bora: One question for you, Ken. You just in the previous answer before me, I think you said the pace of migration to cloud should continue to accelerate. In that context, how should we think about kind of the maintenance line going forward? And kind of the dollar of maintenance converting to cloud that multiple that you typically get, how should we kind of think about that as we think about the next couple of years?
Ken Stillwell: Yes. So it is a tough one even for us because not every situation is exactly the same. But if you think about $700 million of term -- of non Pega Cloud ACV, if you just think about that number. And if all of it converted, Right? You should see somewhere between a 25% and a 50% expansion off of that number. Now in some cases, the number will be two to one, right, or more. And in some cases, it will be more modest. It really kind of depends on the actual situation with each client. So we do have to. Now there will be some markup for all clients because naturally, there's a managed service that we're providing and infrastructure, et cetera. But I think just using a rule of thumb, I'd say 25% to 50% across that you're talking about a few hundred million dollars of incremental opportunity.
Operator: Hi Rishi, I think your line is mute.
Rishi Jaluria: Yes, sorry, I did not hear my name is getting called. Thanks Alan. Thanks, Ken. For taking my question. Maybe to starting with Blueprint really exciting to see the momentum here. Can you talk a little bit about some of the more common applications and workflows that you're seeing going into production? And maybe if we think about some of those use cases over time, maybe over the next 1, 2, 3 years, how do you see that evolving?
Alan Trefler: So a lot of the uses, as you would expect, have to do customer service and aspects of it like the onboarding or the dealing with addition of a new product and how you make those choices and how you get the right approvals and implement that. Those are very common types of workflows. But we're seeing the lots of workflow uses that fall into what you'd call the master data management space. That's kind of how do you sit in front of an SAP system or some old, big system that is maintaining the records of your business and make sure that your products have defined correctly or part of business are defined directly, really putting those types of workflows in front which leverage our ability to work so well with some of these big, old back-end systems, but give them a state-of-the-art workflow that brings AI to how they want to operate. So it's incredibly broad is the way I would describe it.
Rishi Jaluria: And then if we just think about kind of the increasing mix towards consumption and then Blueprint's probably going to accelerate that. How should we be thinking about just kind of the overall revenue mix of kind of more traditional subscription versus this consumption component over time? Or is that just not the right term to use.
Ken Stillwell: So I don't -- I understand your question completely, which is fixed versus variable revenue, Rishi. And I don't know that that's necessarily the right way to think about it. Because what Alan said was the way that this works is think about it as a commit with flexibility, Right? Clients are committing to a certain amount of usage because that gets them better economics on pricing, they have the ability to flex up as they flex up, they typically commit to higher levels that gets them once again better economics as they scale as you get volume discounts. And it's very similar to Amazon or Google, where they actually have pricing discounts, but then there's better discounts you can get by making annual commitments. So it's a very similar model for that. There's still going to be a commitment level, but there's going to be this ability to allow clients to all those grow organically within their arrangements as opposed to having to go through a contracting and paperwork process every single time they want to get a new application, a new workflow, a new case type started. So I don't think -- we're not bifurcating those numbers because we view it as all part of a continuum of how we grow with our clients.
Operator: The next question comes from the line of Patrick Walravens with Citizens JMP. Please go ahead.
Austin Cole: This is Austin Cole on for Pat Walravens. Ken, I think at the Analyst Day, you made a comment that the kind of long term getting to that $2 billion ACV in 3 to 5 years, that there's an upside case that's driven by Blueprint. Did you mean that, that upside case with Blueprint is getting to that $2 billion and kind of closer to the 3 years rather than 5 years?
Ken Stillwell: Yes. That's -- naturally, we're going to do everything we can to get there as fast as possible. And we think Blueprint could help us get there faster, which is where that range came up Austin.
Austin Cole: And then just -- I know it's super, super early days, but following that event in the 1 month since that event where definitely was very centered on Blueprint. With the interest you're seeing, I mean, is there anything in these early days to suggest that we're not going to be close to that 3 years rather than 5 from a blueprint standpoint?
Ken Stillwell: I would say we -- given where we are now, Blueprint excitement momentum, even the improvement of the advancement of some of the capabilities of Blueprint are really on pace with what we had hoped. Jumping to the -- it's 3 years versus 5 years is probably a little premature to start to predict when we think we can get there. But I would say we feel great about the opportunity. And naturally, we're -- internally, we're pushing to get there as fast as possible. And in 3 years would be our -- that's like -- that's our desired state. But once again, we're months in from when we talked.
Operator: Your next question comes from the line of Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Perfect. I have two quick questions. One, given the uncertainty that we had on the software spending side, with the off-cycle Q1, I don't know if you followed what we saw at Salesforce, Workday, et cetera. How -- what did you see this quarter kind of playing out? And did you change anything in terms of kind of penciling like being a little bit more sharper on sales execution, et cetera, because you delivered a very, very strong quarter. So the questions that we all have is like are there certain pockets in software spending like yours that is with GenAI is doing better than others? Or like can you talk a little bit what is slightly broader in terms of sales? And then I have a quick follow-on.
Alan Trefler: Yes. They were -- this is an example of a quarter where they were really know what we used to call whales. We love whales, but it's okay, being able to have a good quarter without any. That's we'll take lot's of tuna is the way we think about it. The -- so there weren't any whales. There weren't regional differences that were massive or driving the outcome. And I do think our sales execution has improved as we really moved to adopt the target or model, and as that has now become part of the DNA of the company. And what we need to make sure is that as we grow, as we continue to go forward, that the organization continues to basis, its energy on the things we've learned about doing it in a more efficient manner and paying attention to the cost that envelop as well as the getting the growth target. But no, it was a broad brush outcome.
Ken Stillwell: So Raimo, can I -- let me add one little piece of information that I know you're aware, just to remind you. We are not as dependent on licensing at the user level. And so I think a lot of software companies that license at the user level actually do have poor risk with this whole like automation, Gen A, trying to get efficiency. And quite frankly, our entire solution it's about automating end-to-end to drive efficiency and optimization and consistency. So we think that -- and not to say that we are insulated from good global economic trends because we are absolutely subject to all of that. I do think our licensing model being more of a consumption value-based licensing model where the amount of transactions that Pega does tie to the value ties to our business helps us. And also the net space in which we sit, is very congruent with what we're trying to -- what the market is trying to do with AI, which is to drive efficiency and automation. So maybe that helps us a little those two levers.
Alan Trefler: Our philosophy is, the more work the system does. If the system is doing more work, then the customers should be willing to pay more. The folks who are doing this based on users I think that's just an antiquated model. That's -- our full point is we're going to go to an autonomous enterprise that is more self-driving. And the number of users is going to massively reduce doubled with self-service. So I'm really happy that we have the right thinking when it comes to a model.
Raimo Lenschow: And then Ken, on the cash flow number, very strong for the first half, obviously, like the Q1 was a strong one, Q2 is never the strong one because of the seasonality. Like if you think about the cash flow performance so far this year, is there any thinking from you that the trajectory is changing? Or are we still kind of good with what you kind of communicated before?
Ken Stillwell: Thanks, Raimo. So I think -- so first off, I think, we'll try really hard to have positive cash flow in Q3. I think it will happen. But when you have lower billing quarters. It is harder to generate lots of cash. Q4 is always a figure billings quarter. It doesn't always mean that cash flow is big as some clients may pay you in Q1 or Q4. So I think that teetering of when you get collections continue to make Q1 and Q4, the biggest quarters for the year, we still see the year like kind of shaping up as we thought it would be but Q1 gave us a really good start. Q2, quite frankly, was better from a cash flow standpoint than we thought. I think Q3, we will try to keep our positive cash flow momentum, but it is hard when you don't have as much billings in the quarter.
Operator: Your next question comes from the line of Mark Schappel with Loop Capital Markets. Please go ahead.
Mark Schappel: And nice job on the quarter. Ken, during the Investor Day, it was noted that the company was planning to target new logos that have the potential to be 1 billion ACV accounts. It's a little bit of a departure from the past. I was wondering, if you could just provide some additional details on how you plan to go about this market -- go-to-market wise. So for instance, should we expect like a dedicated sales team to go after these new clients?
Ken Stillwell: Sure. So let's go back a year or two ago. We wanted to transform our go-to-market team. We knew that by doing that and changing the way we sold to add a bunch of new logos was going to be terribly disruptive to the progress on that. So just a reminder of why we are where we are. We really limited net new logos. It was a very small amount, a very targeted. And when we go forward, we are going to be just as targeted in terms of the new logos, but we are feeling like it is time to add more focus on new logos. Those new logos will not be a new team that we have our teams already segmented where some of our teams actually focus on more prospecting more logos. We call that major accounts, which is an account that is very significant it typically looks just like one of our existing organizations that we feel like we can sell into. So it's going to be very target or model, and it will be focus in some of our teams right now globally that already have prospected for some new logos. But once again, they're going to be targeted.
Alan Trefler: And what targeted means is that you don't give somebody some random territory and say, go hunt. You basically say, hey Paula, John, here are six org. This is where you're going to fly, get one of these or maybe even here's one org that we want you to break into. So a very target forward driven so that we don't have this investment in general purpose marketing expense which we found when we did it before, we just get the returns from. We're very comfortable that on a hand-and-hand with org, we can work our way through that.
Ken Stillwell: And one last little piece of color there. Mark, organizations that we will target will probably look like the organizations that we already have and also may have former Pega buyers and influencers that have moved to those organizations, which actually helps as well, meaning somebody that already used Pega at another organization and took a new role, that's kind of how we're thinking about that strategic targeting.
Operator: Your next question comes from the line of Daniel Ives with Wedbush. Please go ahead.
Daniel Ives: Can you talk about on these AI cycles, how that's changing your overall spending environment? I mean, are you getting brought into more, what I'll call AI-driven deals?
Alan Trefler: Yes, we are -- people have seen what we've done and are intrigued. And so we're really being seen by our customers in many cases as the way that they should go about implementing AI. I mean what's a better way to implement AI to make the way your workflows work better or to cut down on manual steps or to make better decisions for clients. Those are perfect use cases for AI. So we're a way for companies to incorporate AI in the core of their business without having to craft it by hand, from something from Azure or AWS. This is a way for them to incorporate AI as part of something that's very [Indiscernible].
Daniel Ives: And of those, how many tend to be more new customers versus existing?
Alan Trefler: Well, yes, we -- our strategy is very much about expanding into other areas of existing customers and that has been our strategy. But I consider another area of a new customer. I mean another part of the U.S. Department of Commerce. That's really kind of breaking into something new. So it's not as clean as you might want. But we're definitely going to be looking at taking out how do we open that aperture and bring it to more new organizations, but do it in the style we're already using.
Ken Stillwell: And by way, Dan, just to add one, just to add one other piece of color. Our partners are actually very helpful in assisting us in the selection of some of those target organizations because they may actually be talking to those exact organizations and make recommendations for ones that we should cover. So that's where another helpful connection to AI as well.
Operator: That concludes our Q&A session. I will now turn the conference back over to Alan Trefler, Founder and CEO of Pegasystem for closing remarks. Please go ahead.
Alan Trefler: Thank you, everyone. We're working hard. We're seeing our customers engage with us, which is enormously invigorating, when we talk about GenAI excitement, I will say that it is palpable and we're going to continue to improve it, to drive it and hopefully continue to show the good results. Thank you very much, everyone.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.